Operator: Good day, ladies and gentlemen, and welcome to the News Corporation Second Quarter Fiscal Year 2015 Earnings Conference call. Today's call is being recorded. Please be advised media is invited on a listen-only basis. At this time, I'd like to turn the conference over to Mike Florin, Senior Vice President and Head of Investor Relations. Please go ahead, sir.
Michael Florin: Thank you very much, operator. Hello, everyone, and welcome to News Corp's Fiscal Second Quarter of 2015 Earnings Call. We issued our earnings press release about 30 minutes ago. It's now posted on our website at newscorp.com. On the call today are Robert Thomson, Chief Executive; and Bedi Singh, Chief Financial Officer. We will open with some prepared remarks, and then we'll be happy to take questions from the investment community. This call may include certain forward-looking information with respect to News Corp's business and strategy. Actual results could differ materially from what is said. News Corp's Form 10-Q for the 3 months ended December 31, 2014, identifies risks and uncertainties that could cause actual results to differ, and these statements are qualified by the cautionary statements contained in such filings. Additionally, this call will include certain non-GAAP financial measurements. The definition of and reconciliation of such measures can be found in our earnings release and our 10-Q filing. Finally, please note that certain financial measures used in this call such as segment EBITDA, adjusted segment EBITDA and adjusted EPS are expressed on a non-GAAP basis. The GAAP to non-GAAP reconciliation of these non-GAAP measures is included in our earnings release. With that, I'll pass it over to Robert Thomson for some opening comments.
Robert J. Thomson: Thank you, Mike. In the second quarter of fiscal year 2015, we continued to pursue the long-term development of the company as well as delivering positive results in the here and now with reported revenues of $2.3 billion, up 2%; stable EBITDA of $328 million; and a rather healthy free cash flow. Importantly, excluding currency fluctuations during a patently volatile period in the ForEx market, acquisitions and other nonoperating costs, our adjusted EBITDA grew by a robust 4%. That makes 2 successive quarters of improving revenues year-over-year, signaling that the transformation is on track and that most of our core businesses are delivering solid results. At the heart of the metamorphosis of a company with a proud provenance, a very proud provenance, is our promise to become more digital and increasingly global, and both of those characteristics are clear in the numbers today. It is also worth noting that these achievements come despite a very uneven global advertising market. Advertising remains distinctly short term, making prognostication difficult, but the diversity and the depth of our portfolio have provided a solid buffer. This quarter marks the first time partial results from Move are included. Although we don't yet have a full quarter of performance, it is fair to say that the expansion of our Digital Real Estate portfolio should provide a firm foundation for future growth, and our confidence has only increased post-closing. For example, average unique users at realtor.com grew at a record rate of approximately 33% in January to 37 million. Total visits to the site rose 46% on a year earlier, and importantly, total mobile visits rose 79%. While there is much toil ahead, there's also much reason for optimism. Our other major acquisition to date, Harlequin, has continued to benefit our Book Publishing business hoping to usher in a new era of international and digital expansion at HarperCollins. Harlequin has access to over 100 markets and publishes in 34 languages, which is a far broader base for us, and we have already begun using that reach to take more advantage of successful titles. Here are a few top line observations about our Q2 performance. With Harlequin integrated into its stable of brands and solid results in other divisions, HarperCollins continues to show great strengths. Sales of the Divergent series have exceeded our expectations again with 1.5 million units sold in the second quarter, and we are keenly looking forward to the second film in the Divergent series, Insurgent, scheduled for release next month. We have also benefited significantly from the release of the film American Sniper, which has obviously stimulated sales of the eponymous book, now atop bestseller charts in the U.S., U.K. and Australia. The tome had strong momentum in the month of January when it sold 1.2 million units. To date, Chris Kyle's American Sniper has sold 3.9 million copies, and that title is rising rapidly. HarperCollins announced this week the acquisition of the North American rights to the newly discovered novel by Harper Lee, the author of the monumental To Kill a Mockingbird. The novel Go Set a Watchman will be published on July 14 this year and gives HarperCollins a head start for next fiscal year. If the overwhelming interest in the announcement is reflected in book sales, we can expect robust performance this summer and beyond. During the quarter, we also saw increased monetization of the backlist by Brian Murray's team at HarperCollins through dynamic pricing and subscription offerings, demonstrating how digital drives value for titles. Going forward, we are optimistic about the rich scene that is our back catalog. The net effect of the developments this quarter at our Book Publishing segment, revenues improved by 20% and EBITDA by a healthy 13% versus the prior period. The Dow Jones continues to make progress at the professional information business, but we were particularly pleased that advertising at The Wall Street Journal was higher than in the prior year. One reason was an increase in advertising by technology and finance companies in the print edition of The Journal. It is certainly meaningful that tech companies see the value and power of print as a platform and its desirable demographic. At News Australia, we again saw sequential year-over-year improvement with advertising declining only 3% in local currency and EBITDA again up versus the prior year. Our digital subscriptions are now approaching 250,000, almost 30% higher versus the prior year, but it is still early days in our digital development. We've been revamping the product offerings, including the launch of new apps at our metro mastheads, and we have reduced costs, including the closing of our Gold Coast printing site, while we have successfully raised newsstand pricing and subscription rates to drive circulation revenues. For News UK, it's worth noting progress at Sun+, The Sun's digital offering, which reported a total 225,000 paid subscriptions in late November. This was double the prior year figure, representing over 10% of the masthead's overall circulation and helped to offset print volume declines. There is no precedent or template for this project in the popular masthead market, so we are still learning about churn, loyalty and seasonality. What we do know is that the advertising climate in the U.K. remains very difficult, but we are renewing our efforts on digital ad sales and assiduously cultivating core clients. The Times has distinguished itself by being the only U.K. newspaper to show an increase in print circulation in the most recent audited reports and been the best-performing national newspaper for 7 consecutive months. We've seen both print and digital volume growth, and ARPU continues to increase year-over-year. At a time of media transformation with a flood of low-grade listicles and cheesy charticles, it is clear that high-quality journalism attracts high-quality revenue and reader engagement across all platforms. Importantly, as we highlighted last month, The Times reported an increase in profitability in the last fiscal year, thanks to the success of its digital strategy and higher print sales. Turning to News America Marketing. It is operating in a challenging environment, particularly with respect to its FSI products, where the competition is particularly intense. The in-store sector showed growth but is a smaller proportion of overall revenue in the sector. We are exploring partnerships to digitize the insert business and leverage our strategic relationships with retailers and consumer packaged goods companies. In Australia, we are pleased with the early results of the new pricing strategy at Foxtel. The company's market penetration had stalled for several years, and so we agreed with our partner, Telstra, to lower the entry price and market this uniquely rich service with extra vigor. Early results are encouraging with an increase of just over 80% in new sales volume and a lower-than-envisaged percentage of existing clients taking cheaper packages. Bedi will furnish more details in a few moments, but these early numbers, and they are early numbers, are a tribute to the efforts of Richard Freudenstein and his team. Foxtel also announced this week the commercial launch of its triple-play bundle and shortly will unveil its advanced iQ3 set-top boxes, broadening its product offerings with a view to solidifying its leadership in the market. Fox Sports Australia celebrated the success of the national sports teams in recent weeks with Australia winning the Asian Cup at the weekend, which itself will further stimulate interest in soccer. We should benefit as we hold the rights to local soccer matches as well as to the increasingly popular English Premier League matches. Meanwhile, the Australian team is also favored to win the Cricket World Cup, which begins in coming days. Cricket, while a mystery to some in the outside world, is an important component of the offering in Australia. Also in Australia, REA had a very good quarter not only demonstrating growth but an improvement from the fiscal first quarter in revenues and profitability in local currency. It continues to extend its position as the market leader and has expanded its international footprint, raising its stake in iProperty, the East Asian digital site, to around 20% and acquiring a strategic 20% stake in Move. At Move, Ryan O'Hara has just taken over as CEO, and there is already a profound difference in the metrics as the company is being integrated into the broader News Corp platforms. Those of you who access WSJ.com or the New York Post online will see search boxes for realtor.com, and you will increasingly see sophisticated targeted subscription ads for The Journal and the New York Post on realtor.com, as we leverage unique data to drive precisely targeted offerings. While realtor.com's core business is real estate, we believe its audience can be monetized in many other creative ways given the vast array of demographically desirable data we will derive from home buyers. At realtor.com, we have also begun layering in content from Dow Jones, The Wall Street Journal, MarketWatch and the New York Post. We're improving engagement, driving more impressions, particularly on mobile, as the dramatic increase in traffic in January attests, and this improvement comes largely from organic improvements, not from increased marketing expense. We launched a new homepage with improved user experience and search functionality, and we are working to incorporate realtor.com into the News Corp programmatic ad exchange, which is well-positioned to drive higher CPMs. We are also making a concerted push in the New York City market, which had not been well served in the past. We are leveraging the audience at The Post and The Journal and our partnership with the leading real estate companies. We expect a stronger presence in New York to increase the flow of prestige properties but also to raise the profile of realtor.com on Madison Avenue and elsewhere and create a more lucrative digital advertising platform. Let us be very clear. We are at the earliest of stages with the development of realtor.com, and the U.S. market itself is at an early stage of development. But having looked more closely at the company since the acquisition, we are even more excited about its potential both for the group and as a business in one of the fastest growing digital sectors. Macro conditions are also more auspicious as mortgage lending restrictions have been relaxed, housing starts are on the rise and the real estate runes in the U.S. market generally are positive. We have been candid with you about the importance of the seasonal selling season at Amplify. There is no doubt that the digital curriculum is the most advanced of its kind, and we have a remarkable, creative and committed team under Joel Klein's astute leadership. Furthermore, we are very realistic about the exigencies of the marketplace and the importance of a robust sales network. Our focus is to drive both scalability and profitability, and we expect a meaningful reduction in investment spend next year. Taken together, the second quarter of fiscal 2015 tells a compelling story of News Corp's evolution as a business. We are definitely more digital and global, thanks to the success with digital subscriptions at our mastheads, the expansion of subscribers at Foxtel, the development at HarperCollins through the Harlequin purchase and the addition of realtor.com and our other Asian real-estate-related investments. Advertising trends are difficult to forecast, and the situation in Greece remains a potential catalyst for more wide-spread economic upheaval, so we have resolved to be vigilant in reducing costs. Having explained that we would be reconfiguring the company over the first 2 years and having seen that plan unfold on schedule, we will continue to review our capital allocation priorities. Our goal remains to be balanced among organic investment, strategic M&A and as we had indicated, the return of capital. Now let me turn it over to Bedi, who will provide background detail and texture on today's results.
Bedi Ajay Singh: Thanks, Robert. First, I'll cover some high-level financial highlights and then discuss each segment in further detail. We reported fiscal 2015 second quarter revenue of $2.28 billion, a 2% increase versus the prior year period. Excluding the impact of acquisitions, divestitures and foreign currency fluctuations, adjusted revenues were in line with the prior year. With regard to EBITDA, we reported total segment EBITDA of $328 million compared to the prior year period of $327 million. This quarter includes $13 million of costs related to the U.K. Newspaper Matters net of indemnification and $16 million of transaction-related costs for the Move acquisition, which closed in mid-November. Excluding those costs plus the remaining impact of acquisitions, divestitures and foreign currency fluctuations, our adjusted total segment EBITDA grew by 4% versus the prior year. As Robert noted, we were impacted by currency headwinds, primarily the Australian dollar, which negatively impacted Q2 total revenues by $72 million or 3% and total segment EBITDA by $16 million or 5%. Reported EPS were $0.24 versus $0.26 in the prior year period due to higher effective tax rate and lower interest income. Excluding restructuring and impairment charges, U.K. Newspaper Matter costs and other onetime items, our adjusted EPS were $0.26 versus $0.31 in the prior year. The results, again, underscores the strength and diversity of our asset portfolio, which continues to show underlying EBITDA and free cash flow improvement despite the uneven global ad marketplace. We continue to extract cost efficiencies while strengthening 2 of our key pillars, Digital Real Estate and Book Publishing, which we believe will materially reshape the growth profile of News Corp. Turning to the individual operating segments. In News and Information Services, revenues for the quarter declined $89 million or 6% versus the prior year period, and adjusted segment revenue declined 3%. Within the segment revenues, advertising, which was 58% of segment revenues this quarter, declined around 9% or 6% in local currency relatively similar to the first quarter. If we look at the performance across our key units starting at News Corp Australia, advertising revenues for the quarter declined around 10% or approximately 3% in local currency, again, showing sequential year-over-year improvement versus fiscal first quarter and last year's fiscal fourth quarter on a local currency basis, helped by market share gains in print and higher digital advertising sales. We saw strong improvements there in the national, notably government and travel, real estate and classified ad categories. News Corp Australia EBITDA also improved due to low costs, including overhead reductions and from the closure of the Gold Coast printing facility in the prior fiscal year. At The Wall Street Journal, advertising grew 2% versus the prior year, a big improvement from the first quarter, benefiting from strength in 2 key categories, finance and technology, combined with strong demand for the WSJ magazine. We saw advertising growth in both print and digital this quarter. At News UK, advertising revenues remain soft this quarter, declining around 18% or 16% in local currency, which was slightly worse than Q1, still impacted by weakness in grocers, telecom, finance and automotive. At News America Marketing, revenues declined due to continuing weakness in free-standing inserts, which have been under pressure over the past 2 quarters, impacted by lower spending from consumer packaged goods companies. The decline was partially offset by in-store advertising growth. Total circulation and subscription revenues, which account for 35% of segment revenues this quarter declined by 3%. The decline was driven by the professional information business at Dow Jones, which had a negative $11 million impact to revenues this quarter but again, continues to show sequential year-over-year improvement as the pipeline of business is strengthening. As Robert had noted, we expect to see further improvements in the second half and hopefully be positioned for growth next fiscal year. Total newspaper circulation revenues, however, showed modest year-over-year growth on a local currency basis in every region driven by subscription and cover price increases at a number of our mastheads, coupled with higher revenue from digital subscribers, which more than offset print volume declines. Of note, starting in January, we have begun to migrate legacy Wall Street Journal subscribers to higher price point tiers. Segment EBITDA decreased $39 million in the quarter or 15% as compared to the prior year period and adjusted segment EBITDA was down 12%. Included in segment EBITDA was $8 million impact related to the relocation of our London operations for deal rent and other facility costs. As I mentioned on past calls, we do not expect any material deal rent and other facility costs from the second half and onwards. This quarter we also incurred roughly $9 million higher legal expenses at News America Marketing related to ongoing litigations. Turning to the Book Publishing segment. Revenues improved 20%, and segment EBITDA grew 13% versus the prior year quarter. Excluding the results from the Harlequin acquisition, which closed in August 1, and foreign currency fluctuations, adjusted revenues were in line with the prior year, and adjusted segment EBITDA declined 4% due to tough comparison from the Divergent series in the prior year period. While the Divergent series continues to sell well, this quarter totaling over 1.5 million net units, this, as expected, was lower than the 5.7 million net units sold in the prior year period, creating a $33 million revenue challenge. Despite that challenge, the core HarperCollins business performed very well to nearly match year-ago levels with solid contributions in General Books, from Amy Poehler's Yes Please, Patricia Cornwell's Flesh and Blood and Chris Kyle's American Sniper as well as continued demand of Sarah Young's Jesus Calling series in Christian Publishing. Total e-book sales for the quarter grew 14% and accounted for the 17% of consumer revenues. Harlequin contributed $80 million of revenues and $11 million of EBITDA in the quarter. It's worth highlighting that Harlequin's profitability is improving, and we are implementing a number of initiatives to reduce costs, including streamlining, manufacturing and distribution as well as harmonizing sales strategies. In Cable Network Programming, revenues improved $2 million or 2% compared to the prior year quarter. Subscription revenues grew 3% benefiting from higher affiliate fees from Foxtel and increased number of subscribers. Advertising revenues decline modestly due to adverse foreign currency fluctuations, but revenues were up slightly in local currency despite a soft TV marketplace. Segment EBITDA in the quarter was up 2% compared to the prior year period. Excluding the impact of foreign currency fluctuations, adjusted revenues increased 11% and adjusted segment EBITDA improved by 9%. In Digital Real Estate Services, we now include results from both REA Group and from Move effective from November 14. Total revenues for the segment increased $51 million or 50%, and EBITDA improved 4% compared to the prior year period. Again, included in the reported results are $16 million of transaction-related fees for the Move acquisition. Excluding foreign currency fluctuations, REA's adjusted revenue and adjusted EBITDA grew 26% and 38%, respectively, an improvement from the prior quarter driven by higher pricing and increased penetration for enhanced products. The quarter's results also include $34 million in revenue and $3 million of EBITDA for Move for the period November 14 through the quarter end, as the business continued to benefit from higher traffic this quarter. EBITDA does include $4 million of stock-based compensation expense though, and as a point of reference, Move excluded stock-based compensation when reporting their adjusted EBITDA. Audience growth at realtor.com has accelerated through the year with fiscal second quarter average monthly unique users up 26% led by mobile platforms, which were up 60%. And also importantly, lead volume growth improved by 38%. As Robert noted, our immediate focus for realtor.com is on product development. We've already refreshed the homepage, added widgets and links across The Wall Street Journal Digital Network and The New York Post, and are integrating our content across the site. Our goal is to drive significant revenue growth and material contribution to profitability in the coming years, and early results are encouraging with January monthly unique users up over 30% to 37 million. In the second half of this fiscal year, we expect to see revenue growth accelerate driven by the continued success of our buyer agent, co-broked (sic) [ co-brokered ] product, which grew over 100% last quarter combined with higher usage levels. And we also intend to reinvest judiciously in marketing and product development as I've previously said. Overall, we are very pleased about Move's trajectory and remain excited about it's potential. At business and education, revenues were flat compared to the prior year quarter, and segment EBITDA improved $20 million to a loss of $24 million. Again, about $14 million of that improvement was due to the capitalization of software development costs related to our digital ELA learning products, and the balance came from operating efficiencies. With respect to earnings from affiliate's, Foxtel ended the quarter with around 2.7 million total subscribers, up 5% versus the prior year driven by cable satellite subscribers. Foxtel revenues for the quarter in local currency were in line with prior year, and EBITDA improved 2%. Churn declined to 11.8% from 12.8% in the prior year quarter. Foxtel launched its new revamped pricing and packaging on November 3 last year with an expectation of improving cable satellite subscriber penetration over the course of the year. Again, while it's early in the rollout, results overall are encouraging. Total new sales volume has improved by approximately 80% since launch, and churn has reduced. Despite the impact of the lower selling price point, ARPU remains favorable year-over-year, reflecting the limited spin down to date of existing customers. Turning now to cash flow. News Corp's cash flow from operations in the first half of fiscal '15 improved to $492 million compared to $407 million in the prior year, and free cash flow available to News Corp improved to $275 million compared to $217 million in the prior year. The vast majority of our $1.9 billion cash on hand is in U.S. dollars. We continue to expect full year CapEx to be relatively similar to the prior year at around $400 million, including around $70 million for the London relocation, which is now complete and $60 million related to capitalized software at Amplify Learning. So in summary, we believe this quarter and the first half results demonstrate that News Corp is on the right track. While the ad market has been unpredictable and currency has been and remains a headwind, we believe the steps we're taking both in reinvestments and operating efficiencies are positioning the company for long-term growth. With that, let me hand it back to the operator for Q&A.
Operator: [Operator Instructions] We'll go to Fraser McLeish with Crédit Suisse.
Fraser McLeish - Crédit Suisse AG, Research Division: Just a quick question on Move. Just noticing that ListHub is -- or Zillow is not going to be getting its listings from ListHub anymore. Just was that your decision or theirs? And what sort of impact in second half on your revenues and also what sort of strategic advantage do you think that's going to give you once those listings go?
Robert J. Thomson: Well, certainly, we were in negotiations with Zillow up until recently, and they've filed a form, which declared that those negotiations had finished. So it's fair to say, if you want to put it this way, they took the initiative. It is now up to ListHub, of course, to recreate through the rather complex MLS system a -- which is -- or through -- Zillow through the complicated MLS system, a feed that takes into account that there are in total around 850 MLSs, and that -- frankly, that's their responsibility. Now ListHub itself provides feeds to about 166 publishers, and we at Move, of course, have a direct feed from the MLSs. We don't use ListHub itself, which is a syndication services, and -- but what we do have at Move, quite frankly, are fresher listings, more accurate listings. And that, we are going to make clear with our marketing over coming months, and we believe that once it becomes clear that, that -- they -- our IR comparative advantage is that users, as they already are, increase -- increasingly turn to realtor.com as their source of real estate listings and information. There is no material impact at all on our revenues through the Zillow move.
Operator: Our next question comes from John Janedis with Jefferies.
John Janedis - Jefferies LLC, Research Division: Just a follow-up on your prepared remarks. Do you need any more scale through acquisitions in the real estate or book verticals if you will? And how do you think about your cash balance and the timing around the potential for return to capital given your desire to have that balance?
Robert J. Thomson: Certainly, with the Move acquisition, our immediate gain -- goal is to develop the potential of the company. As we've made clear, we're very excited about that. That will be an ongoing task in the next year or 2. As for the Book Publishing business, we've successfully integrated the Harlequin business into HarperCollins, which, as you can tell, performed very well during the quarter. We look ahead to more cost synergies at Harlequin, but we also look ahead with much optimism to the catalog that we have at -- more generally at HarperCollins. As we said in the past, the first 2 years are years of consolidation and development and transformation. We're well on schedule there. We will -- we'll obviously be reviewing capital allocation in coming months, but that's really all we can say at this stage but to reinforce our sense that we're pleased with the trajectory of the company and in particular with both the Book Publishing business and so far, from what we've seen, very much so with the performance of the new team at Move.
Operator: We'll now hear from Bill Bird with FBR.
William G. Bird - FBR Capital Markets & Co., Research Division: Was wondering if you could elaborate on your expectation for meaningful reduction in Amplify investment spending next year. Was wondering if you could address whether you're committed to all 3 business lines and if you're open to considering narrowing the scope of the business.
Robert J. Thomson: Look, we have 2 priorities over the coming months. One is to continue to develop the best-quality digital curriculum in the country and, we believe, in the world; and secondly, to get our sales teams out to see the market reaction to that curriculum. That will be the priority. We'll be reviewing the situation at Amplify at the end of that selling season. But we're confident in our curriculum and we're confident in our teams.
Operator: We'll go on to Alexia Quadrani with JPMorgan.
Alexia S. Quadrani - JP Morgan Chase & Co, Research Division: Just following up on your comments in your prepared remarks about the strength you saw in the quarter at The Wall Street Journal, particularly in the print side where you saw positive growth. I guess, anymore color you can give there in terms of -- I know you mentioned the tech and the finance being a driver of that. Was it more broad based? I guess, was there anything specific to the quarter that led to the strength? Or do you think this could be a more sustainable trend? And then just a second question, if I may, on News America and the weakness there. Do you find that to be a core holding for your company? Or is that something you might strategically consider to maybe divest down the road?
Robert J. Thomson: Well, look, we were extremely gratified by the performance of The Wall Street Journal in the quarter just passed. I think what you saw was a recognition by tech companies and finance and others, luxury goods advertisers in the magazine about the strength of that platform, the power and obviously, the positive reaction to the advertisements. So I think it tells you that The Wall Street Journal has a distinct demographic, and it tells you that high-quality content brings high-quality audiences and high-quality advertisers. As for News America Marketing, the task for our team there is to push hard on the FSI business. It's a competitive market. There's absolutely no doubt about that. They know the extent of the challenge. But to give you a sense of the opportunity at News America Marketing, they are very much involved with -- in discussion with our team at Move, looking at how you can bring together, for example, knowledge that somebody's going to move house with household-related products in which News America Marketing has a particular strength.
Operator: We'll go on to Entcho Raykovski with Deutsche Bank.
Entcho Raykovski - Deutsche Bank AG, Research Division: Entcho Raykovski here. My question is around Fox Sports Australia, and obviously, you've achieved some higher affiliate pricing in the quarter. I just wanted to understand, is this part of a new package that Foxtel is providing as well? And also, there have been some new channels, which are being offered in Fox Sports Australia. Are they likely to result in higher costs over the coming quarters?
Robert J. Thomson: The increasing revenue is related to subs itself, up low double digits, which is due to the growth in those subs. I mean, we're very optimistic that the development of the channels there will provide opportunity for more growth in revenue than growth in expenses. And I think the team there is particularly excited that the sports in which they have specialized, like soccer and cricket, are sports in which the -- as we mentioned earlier, the national teams are doing well, and when you have a positive mood, you have greater audience growth. I mean, I'll put you across to Bedi for further metrics on...
Bedi Ajay Singh: Just on -- I think on your cost question, obviously the -- there'll be some costs increases in Q3. We've got some onetime events, the Asian Cup, Cricket World Cup, so that'll will take cost up a bit. Margins and maintaining the margins will depend on how much higher volume we get in terms of subscribers and additional rate increases.
Operator: We'll go on to Eric Katz with Wells Fargo.
Eric Katz - Wells Fargo Securities, LLC, Research Division: Just 2 quick ones. First, on the last call, you mentioned that circulation revenue would have been flattish in 2014 without DJX. Can you remind us when those headwinds fully subside and what circulation would have looked like in fiscal Q2 excluding DJX? And also, you made 2 recent investments in India sort of back to back. Can you talk a little bit about how big of an opportunity these investments could be and whether this is maybe the overarching strategy in India?
Bedi Ajay Singh: Right. So on DJX, as I said, this is -- we're seeing improvement in terms of the rate of revenue drop, and I think by the end of this fiscal year, we should be pretty much out of that. So coming into the new fiscal year next year, we should actually see that not being a drag on the overall circulation. In terms of the India investments, we made an investment in a real estate company called PropTiger, and we also made another small investment. So we're looking at the Indian market in terms of making relatively smart and sort of relatively smaller size bets. But the market there is completely exploding in terms of Internet platforms, and I think we have to be in that market. And there's a lot of synergy in addition to the real -- on the real estate side. We think we are doing, not just here in the U.S. with Move, but also with REA operating in the Asia-Pacific region.
Operator: And Justin Diddams, with Citi.
Justin Diddams - Citigroup Inc, Research Division: My question is around the News UK, advertising down 16% in local currency. I don't think we can sustain that kind of decline much longer, so I'm wondering what the strategy is for the U.K. business to either halt those advertising declines and/or monetize football rights or what the plan is for the U.K. business, particularly in the context of a $70 million office move.
Robert J. Thomson: Well, just, first of all, the office move was bringing together all the companies, and out of that, we've already seen not only creative synergies but cost synergies. And those cost synergies will continue to be manifest. There's no doubt that the advertising market in the U.K. is a volatile one. The winds are fluky, but what Mike Darcey and the team are doing in particular: one, focusing on digital advertising where we do believe that there is room for growth; two, we're constantly looking at circulation revenue; and three, the team is going out and arguing in a very competitive market about the value of the unused mastheads, which is very clear. And it's very clear, indeed, when you look at the circulation uptick in The Times, where -- while other newspapers are struggling, The Times is doing very well. And that message, when advertisers hear it and understand it, will resonate not only with advertisers but with potential consumers. So Mike and the team are very much on the case, and they certainly have levers to pull.
Operator: Our next question comes from Craig Huber with Huber Research Partners.
Craig A. Huber - Huber Research Partners, LLC: Wanted to focus for a second here on the cost outlook for your Australian newspapers and the U.K. papers. Did you feel at the stage that you have much room to take out more -- plenty more cost? Could you give us a sense how much fully to take out at this stage, both the U.K. and Australia, please?
Bedi Ajay Singh: Craig, I think -- I mean, the way to think about it is in Australia, and I think we've said that on some of the previous calls, the team there keeps doing a super job looking at the distribution, the manufacturing footprint. We brought down pricing on newsprint. They're doing a lot of work looking at sort of duplication of backrooms. So I think there's still runway to go in Australia to keep taking out costs. I mean, I think, they're diligently doing it. The U.K. has taken out a lot of costs, but I think there's always opportunity. And clearly, as Robert said, now that we've put everybody into one building and one location, some of that work is starting now in terms of can we get synergies out of everybody being together in one place. So I think there's still work going on there, but I would say probably Australia, there's more than there is in the U.K.
Operator: We'll now go to Doug Arthur with Evercore ISI.
Douglas M. Arthur - Evercore ISI, Research Division: On Book Publishing, I mean, flat adjusted revenues seems pretty impressive given the Divergent comparison. Is that comparison likely to get tougher in the next quarter or next 2 quarters? Or will the next movie release and the books attached to it start to offset that? I mean, how do you see that playing out in the near term?
Robert J. Thomson: Very good question. Look, it is a tough comparison. Q3 last year, the series sold around 8 million units, but look, there was surprise on the upside last quarter with the emergence of American Sniper. The full value of American Sniper will be felt in this quarter, and to be honest, sales are increasing still for that particular book. And as you mentioned, we do have the imminent release of the next film in the series. Again, around that, there'll be a lot of marketing and product placement that one would presume will be beneficial for sales. But the team at HarperCollins have done an excellent job making those tough comparisons and making the most of not only a great frontlist but a backlist that they are dynamically pricing and exploiting full value of.
Operator: We'll now go to Michael Morris with Guggenheim.
Michael C. Morris - Guggenheim Securities, LLC, Research Division: My question is on Wall Street Journal. The price increases that you put through for new subscribers, last quarter, can you talk about what you learned in terms of the trajectory of new subscribers, whether that was impacted by the price increases and how that impacted the price increases for existing subscribers you're putting through this quarter -- or you put through this quarter and whether it gave you more confidence in the pricing power that you have at The Journal?
Robert J. Thomson: I think we have a lot of confidence in the pricing power of The Journal both in print and digitally. We increased the newsstand price, and newsstand sales are not a large percentage, but they're a significant measure at times of reaction to price increases. And that was an increase from $2 weekday to $3 with very little impact on circulation itself. So that's an immediate measure of the strength of that brand and the elasticity that we have.
Operator: Adam Alexander with Goldman Sachs.
Adam Alexander - Goldman Sachs Group Inc., Research Division: Robert, I've just got a question on Move. Now that you've had some time to look at the business, make some management changes, and you've reported some quite good metrics to date. At acquisition, you mentioned a marketing investment would make the acquisitions sort of dilutive to earnings. I'm just wondering whether that's still your expectations and if so, when we expect that sort of marketing spend to start ramping up.
Robert J. Thomson: The marketing spend will ramp up when we're happy with the marketing campaign and when we're happy with the adjustments to decide to make the user interface better to improve the experience that not only for use of the site but for Realtors who are our core clients. And so those are the priorities in the shorter term, and then around that, we will build our marketing campaign. But what I have to say that's been gratifying is that the -- what we presume to be the case, the bringing together of the platforms of the Dow Jones network and Move, realtor.com, that, that would have, of itself, for example, increased the power of organic search, and that is what you're seeing behind that rapid rise in usership in recent times. And we're particularly gratified by the increase in mobile usage. And for example, the mobile app, the number of visits in January was up close to 65%, and when you look at the app deep, the number of page views per visit, as best we can tell, at the app is around just over 18 pages per visit. So you're not only getting a lot of visitors, but you're getting very sticky visitors. And that comes at, frankly, very little or no marketing cost. So whatever we do longer term with marketing spend -- and there will be marketing spend, and our guidance has to be that it will be dilutive. What we're already seeing is an impact that has exceeded our expectations on the upside, so far, in terms of traffic and stickiness.
Operator: We'll now hear from Alice Bennett with CBA.
Alice Bennett - Commonwealth Bank of Australia, Research Division: Just have a question around Foxtel. I think you mentioned total subscribers up around 5%, and in recent quarters and years, most of that growth has been coming through with the digital subs. Just wondering post the price change if you can give us a sense of how much of the cable and satellite subscribers were up relative to the digital ones.
Bedi Ajay Singh: Yes. Alice, it's sort of -- I would say it's split almost evenly, but we are seeing encouraging pickup in the cable satellite part of it, which is good.
Alice Bennett - Commonwealth Bank of Australia, Research Division: Okay. And just on Foxtel, the iQ3 box, do you have any sense when that should be launched?
Bedi Ajay Singh: I don't they've announced a date, but we think it should be soon.
Operator: Tim Nollen with Macquarie.
Tim Nollen - Macquarie Research: I've got a couple, actually, if that's okay. Unrelatedly, first, I just wanted to ask, you mentioned about CPG, FMCG advertisers being quite tight with their budgets. I think that was a reference particularly to the U.K., but I wonder if you've got any further comments regarding that category in general, I mean, if you want to talk for your FSI business or just in general across your newspapers because that's a major advertising category that I know has been not spending very much lately. And then separately, secondly, on the subject of Amplify again, could you -- I assume you'll let us know if and when you win some decent school districts. But could you just describe what the status of school district purchases of curricular materials now are under the Common Core? Most states rolling out the Common Core this year, I just don't quite understand what the status is of states' decisions to go about making new curriculum purchases.
Robert J. Thomson: Well, it's difficult to generalize about advertising markets. You see, trends in the U.K. and Australia and at the Journal are frankly different, and I wouldn't want to therefore to generalize about a particular sector with -- globally. I think what we are experiencing at News America Marketing is compared -- competition in the sector generally for free-standing inserts. As for Amplify, we expected around 30,000 subscribers in -- for digital curriculum that -- we're around about that total at the moment, so it's on track. But we're quite honestly in the high peak of the selling season now so we'll have clearer numbers for you next quarter and the following quarter. Around the Common Core, clearly, there's a lot of debate about the Common Core, but even those states that don't adopt the Common Core in its entirety are adopting elements of the Common Core. And it varies very much state by state as to how different that adoption process is. But we're confident that there is a strong market for high-quality digital curriculum in the U.S., and that confidence has -- is flowing into the sales teams who are, as they should be, out selling.
Operator: We'll go to Brian Han with Morningstar Corporation.
Brian Han - Morningstar Inc., Research Division: Now that the Move acquisition has been made and Amplify investment spending is going down, your CapEx outlook is pretty benign. Your free cash flow is still tumbling in. So I'm still wondering how you think about the capital management front going forward.
Bedi Ajay Singh: Brian, look, I think we've been pretty consistent in what we said in terms of -- out of the gate, we were looking at capital allocation priorities in terms of stabilizing the business, in terms of potential acquisitions. And I think Robert said earlier to another question that we had, we are -- clearly, the company is stabilizing, and I think in terms of looking at our capital allocation priorities, we are now reviewing those in much more detail.
Michael Florin: Operator, are there any additional questions?
Operator: No, sir. No additional questions, and with that, I will go ahead and turn things back over to Mike Florin for any additional or closing remarks.
Michael Florin: Okay. Well, thank you very much, and have a great day.
Operator: Thank you, and ladies and gentlemen, once again, that does conclude today's conference. Thank you, all, again for your participation.